Operator: Good morning, and welcome to the TransUnion 2025 First Quarter Earnings Conference Call. All participants will be in listen-only mode. After today's presentation, there will be an opportunity to ask questions. Please note this event is being recorded. I would now like to turn the conference over to Greg Pardy, Vice President, Investor Relations. Please go ahead. 
Greg Bardi: Good morning and thank you for attending today. Joining me on the call are Chris Cartwright, President and Chief Executive Officer, and Todd Cello, Executive Vice President and Chief Financial Officer. We posted our earnings release and slides to accompany this call on the TransUnion Investor website this morning; they can also be found in the current report on Form 8-Ks that we filed this morning. Our earnings release and the accompanying slides include various schedules, which contain more detailed information about revenue, operating expenses, other items, as well as certain non-GAAP disclosures and financial measures along with their corresponding reconciliations of these non-GAAP financial measures to their most directly comparable GAAP measures. Today's call will be recorded and a replay will be available on our website. We will also be making statements during this call that are forward-looking. These statements are based on current expectations and assumptions and are subject to risks and uncertainties. Actual results could differ materially from those described in the forward-looking statements because of factors discussed in today's earnings release, and the comments made during this conference call and in our most recent Form 10, Forms 10-Q, and other reports and filings with the SEC. We do not undertake any duty to update any forward-looking statement. With that, let me turn it over to Chris.
Chris Cartwright: Thanks, Greg. Let me add my welcome and share our agenda for the call this morning. First, I'll provide the highlights of our first quarter 2025 results and a brief overview of what we are experiencing across our markets. Second, I'll discuss progress toward our 2025 strategic priorities. Finally, Todd will detail our first quarter results and 2025 guidance. We'll also offer perspective on how our diversified portfolio positions us to navigate current market uncertainty. In the first quarter, TransUnion exceeded financial results on all key metrics. For a fifth straight quarter, we delivered high single-digit organic revenue growth and double-digit adjusted diluted EPS growth, once again highlighting our ability to drive strong results in a subdued macro environment. Revenue grew 8% on an organic constant currency basis, above our 5% to 6% guidance. Excluding mortgage, our growth of 6% also exceeded expectations. Our U.S. Market segment delivered 9% growth in the quarter. Within that, financial services grew 15% in total and growth excluding mortgage accelerated to 9%. Across all lending types, we continue to outperform overall volume growth by driving new business wins across our solution suite. Consumer lending and auto both grew double digits, and card and banking grew mid-single digits. Activity from FinTech lenders picked up, supported by improved funding and heightened consumer demand for debt consolidation products. Mortgage was up 27%, modestly above expectations due to favorable pricing and additional non-triburo mortgage revenue. Mortgage inquiries were down roughly 10%. Emerging verticals grew 6%, led by double-digit growth in insurance as well as improved growth across our diversified verticals. Tech, retail and e-commerce, and telecommunications verticals accelerated to mid-single digits growth, benefiting from improved bookings and revenue performance in our marketing and communication solutions. Tenant and employment screening grew high single digits against healthy industry volumes as we lapped the impact of our product recalibration due to revised regulations and increased new business wins. Consumer Interactive declined 1% as anticipated. As we continue to turn around the segment, we expect to complete the launch of our new freemium solution later this quarter. International grew 6% on a constant currency basis. As expected, India grew 1% as we lapped robust activity in the prior year. We remain confident in reaccelerating our growth rate in India throughout 2025, supported by growth in our non-consumer business, new business wins, and increases in consumer lending activity. The Reserve Bank of India has continued its pro-growth actions recently with another interest rate cut in April, and the reauthorization of lending by several important non-bank finance companies that were restricted in 2024. We expect that lending conditions will further strengthen as the year progresses. The rest of our international markets grew high single digits, including the UK, which delivered very strong 9% plus growth. Our strong financial results supported progress against our refreshed capital allocation strategy. Our leverage ratio declined to 2.9 times, down from 3.5x a year ago. We repurchased 10,000,000 of shares in March and April, our first share repurchase since 2017. We anticipate greater flexibility for capital deployment, including share repurchases, as the year unfolds. We will balance capital deployment against our goal to delever below 2.5 times before funding the Mexico acquisition later this year. We achieved strong results despite subdued market conditions in the first quarter, overcoming elevated interest rates and softening business and consumer sentiment. Looking ahead, we are maintaining our organic growth guidance for the full year, balancing our strong start and conservative volume assumptions against ongoing market uncertainty. As a reminder, the high end of our guidance in February assumed subdued yet stable lending volumes over the course of 2025, underpinned by healthy conditions for both consumers and our customers. The US economy entered 2025 with low unemployment, modest real wage growth, and manageable inflation. Our customers were cautiously optimistic, supported by stable consumer finances, low delinquencies, replenished deposits, and improved access to the capital markets. In the first quarter, revenue and loan volumes tracked ahead of our expectations for April. Our international portfolio, including India, continues to perform well as anticipated. A continuation of these trends would support results at or above the high end of our guidance. That said, recent proposals in the US around tariffs, trade, and fiscal policy have added risk around the trajectory of employment, inflation, interest rates, and global economic growth. The ten-year US Treasury rate has fluctuated over the last two months and remains elevated, although below its mid-January peak. The Fed is maintaining a cautious approach on monetary policy, opting to wait for more clarity on potential impacts of policy. We are actively monitoring market dynamics and the impact of policy changes on consumers and our customers. Now Todd will provide additional details on our guidance assumptions, our portfolio dynamics, and how we plan to manage the business if conditions soften. I'll spend the rest of my time this morning detailing our recent progress on the three pillars of our transformation: enhancing our global operating model, completing our technology modernization, and accelerating innovation across our solutions portfolio. We continue to refine and enhance our global operating model to standardize how we operate and build scale across the organization. In 2025, we plan to further develop our best-in-class global capability centers and improve collaboration across our functional matrix to accelerate solutions innovation. A world-class global operating model requires strong leaders, and we made key additions in the quarter. Tiffany Chambers is our new Chief Operations Officer. She joins us from Bank of America, where she most recently served as Chief Operating Officer of its Retail Banking Division. Prior to that, she served as Chief Operating Officer for the bank's Global Banking and Markets, Risk, Finance, and Infrastructure Technology team. At TransUnion, Tiffany will focus on delivering premium experiences for consumers and customers, overseeing activities including consumer relations, customer delivery and relationship management, TransUnion's global capability centers, and our procurement and real estate. Mohammad Abdel Sadek has also assumed the role of Chief Global Solutions Officer. He joins us from Mastercard, where he held several executive roles and served on the company's management committee. In his last position, Mohammad was responsible for the Business and Markets Insight Group, where he developed and commercialized products that grew into a multibillion-dollar operation. The group delivered data insights and analytic solutions across over 100 countries using Mastercard and customer data. He was also responsible for the global consulting business that provided advisory services to financial institutions and retail and commerce organizations. Mohammad's focus will be to advance innovation across TransUnion's global product portfolio. Now Tiffany and Mohammad represent the high quality of talent that we're attracting as we scale our business to drive greater innovation and service to our customers and consumers. Our operating model optimization complements the next pillar of our transformation, which is modernizing our technology into a global configurable cloud-based platform. We delivered on key milestones in the first quarter to migrate US Credit customers to OneTrue. We are initially focused on dual running over 90 US Credit on OneTrue and our legacy platforms simultaneously. The OneTrue platform is managing well the scale and complexity of these many challenging workloads, and we've planned additional rollouts in the coming months. We are achieving notable performance and innovation improvements on the new platform, including over 50% faster processing speeds, enhanced cybersecurity and compliance, and rapid development and deployment of new scores and attributes. This quarter, we launched a proprietary AI-powered tool for our developers called OneTrue Assist. OneTrue Assist leverages advanced language models to help our developers auto-generate repetitive code, convert code between languages, and identify and remediate security vulnerabilities. OneTrue Assist can be used across the OneTrue software development life cycle, and we're already seeing a 20% to 50% lift in our developers' productivity from leveraging the tool. We expect to expand our adoption and use case of this tool throughout the year. And finally, we began mobilizing our teams internationally for the migration of Canada, UK, and The Philippines to OneTrue in 2026. We will begin key capability development over the course of this year. Our final transformation pillar is accelerating innovation and growth across our solutions. We continue to make strong progress across our product suites. In February, we discussed the reinvigoration of our consumer interactive business. Throughout the quarter, we performed initial testing and consumer migrations to our new freemium offering in the US, positioning us for a full rollout by the end of the second quarter. We also completed the acquisition of Menevo on April 1. Menevo's centralized decisioning infrastructure enables lenders and banks to deliver highly personalized credit offers to consumers through freemium websites and other online publishers. We're already adding new publishers and top-tier lenders to the platform to complete a robust marketplace. And we experienced strong demand for our TrueIQ analytics suite, including a sizable pipeline and increasing revenue realization for data enrichment. We also continue to build out functionality for our end-to-end credit marketing suite that we call advanced acquisition. We launched Credit Strategy Studio's beta program with multiple customers and with many more in the pipeline. In fraud, we onboarded new customers on the TruValidate integrated solutions with increasing customer interest. We also launched our new global device risk machine learning model, which delivers a material lift in predictiveness for account origination, some account management, and login use cases. Marketing also delivered a solid first quarter with strong bookings as well as strong retention rates during the key renewal season for many of our TruAudience customers. And trusted call solutions had another strong quarter of broad-based growth across verticals. We remain on track to deliver $150,000,000 of TCS revenue in 2025, up from $115,000,000 in 2024. And now Todd will provide further details on our first quarter financial results and our full-year 2025 outlook. Todd?
Todd Cello: Thanks, Chris. And let me add my welcome to everyone. As Chris mentioned, in the first quarter, we exceeded our guidance across all key financial metrics, driven by outperformance particularly in US Financial Services and emerging verticals. First quarter consolidated revenue increased 7% on a reported and 8% on an organic constant currency basis. There was no impact from acquisitions and a 1% headwind from foreign currency. Our business grew 6% on an organic constant currency basis, excluding mortgage from both the first quarter of 2024 and 2025. Adjusted EBITDA increased 11% on a reported and 12% on a constant currency basis. Our adjusted EBITDA margin was 36.2%, up 115 basis points and above the high end of our expectations due primarily to revenue flow-through, annualization of transformation savings, and timing of certain investments. Adjusted diluted earnings per share was $1.05, an increase of 15%.
Greg Bardi: Finally, in the first quarter, we took $30,000,000 of one-time charges related to our transformation program.
Todd Cello: $10,000,000 for operating model optimization, and $20,000,000 for technology transformation. To date, we have incurred $287,000,000 of one-time transformation expenses over the course of the program.
Chris Cartwright: Looking at segment financial performance for the first quarter,
Todd Cello: US Markets revenue was up 9% compared to the year-ago quarter. Adjusted EBITDA margin was 37.4%, or up 120 basis points, driven by revenue growth and transformation savings. Financial Services revenue grew 15%, or 9% excluding mortgage. Our credit card and banking business was up 5% against tempered online and batch volumes. We saw healthy new business wins for trusted call solutions and the broader TrueIQ analytics suite.
Greg Bardi: Consumer lending revenue grew 11%. We experienced strong marketing and online volumes as FinTech lenders continued to reenter the market.
Todd Cello: We also delivered new fraud wins as we expand our solution suite to this customer set. Our auto business grew 14%. Volumes were flattish year over year in January and February but picked up in March, likely due to a pull forward of demand ahead of tariffs. In total, auto volumes in the first quarter were up modestly with growth driven by price realization as well as new wins in credit and communication solutions. For mortgage, revenue grew 27% compared to inquiry volumes down roughly 10%. Mortgage accounts for about 11% of TransUnion's trailing twelve-month revenue. Emerging verticals growth accelerated to 6% in the quarter, led again by double-digit growth in Insurance.
Greg Bardi: Tech, retail, and Ecommerce, telco, tenant, and employment all improved and delivered mid-single-digit or higher growth, and Media grew low single digit. Public Sector declined modestly as the business lapsed strong double-digit growth in the first half of last year. In Insurance, strong growth was supported by stable market conditions. Key segments of the insurance market are expanding new business activity and posting solid results, with marketing activity continuing to recover as rate adequacy improves. Especially in personal lines, auto Insurance shopping remains active. We continue to deliver broad-based new business wins, including in core credit and driving history as well as trusted call solutions and our modern marketing products. Turning to Consumer Interactive, revenue decreased 1%. As Chris noted, we made substantial progress towards launching our freemium offering later this quarter, which we believe is a key step in returning Consumer Interactive to sustainable growth over the long term. For my comments about international, all revenue growth comparisons will be in constant currency. For the total segment, revenue grew 6%. Adjusted EBITDA margin was 45.3%, up 10 basis points. Now let's dig into the specifics for each region.
Greg Bardi: India grew 1% as anticipated as we lapped last year's robust activity. Commercial credit and new products like our API marketplace drove growth, offsetting declines in consumer credit volumes. We expect India growth to improve in the second quarter with further acceleration in the second half of the year, supporting our guidance for 10% growth for the full year. Our UK business performed better than expected, growing 9%. We benefited from strong batch and online activity from our largest banking customers, continued improvement from FinTechs, and new business wins across our diversified markets. In Canada, we grew 7% in a muted market, driven by wins in financial services and consumer indirect as well as healthy insurance activity. In Latin America, revenue also grew 7% with modest growth in Colombia and Brazil and double-digit growth in our other Latin American countries. In Asia Pacific, we grew 8%, led by strength in The Philippines. In the second quarter, we expect modestly negative growth in Asia Pacific as we lap one-time consulting revenue in the prior year. Finally, Africa increased 10% with broad-based growth led by our retail and insurance verticals. Turning to the balance sheet. We ended the quarter with $5,100,000,000 of debt and $610,000,000 of cash. Our leverage ratio at quarter-end was 2.9 times.
Greg Bardi: Through mid-April,
Todd Cello: we repurchased $10,000,000 of shares, our first share repurchases since 2017. Consistent with our refreshed capital allocation approach, we will take a balanced approach to deploying capital over the remainder of the year. We remain focused on delevering to under 2.5 times. We plan to balance debt prepayment and share repurchases throughout the year based on market conditions. We also plan to preserve capital ahead of our TransUnion Mexico acquisition, which we expect will close later this year.
Greg Bardi: Turning to guidance.
Todd Cello: As Chris mentioned, we are maintaining our organic growth assumptions for the year. The only change to guidance from February is the incorporation of the acquisition of Monevo. Based on this trajectory in the first quarter and early April, our financial performance is tracking at or above the high end of our full-year guidance. In that regard, we believe we can manage some level of US lending activity softening within our guidance range. Conditions clearly remain fluid, and we will monitor and update as appropriate. That brings us to our outlook for the second quarter. We expect FX to be a 1% headwind to revenue and adjusted EBITDA. We expect our Monevo acquisition to add 1% to revenue. Based on Monevo's geographic mix, its revenue will be reported mostly in our UK business, with a portion also in Consumer Interactive. We expect revenue to be between $1.076 and $1,095,000,000, or up 3% to 5% on an organic constant currency basis. Our revenue guidance includes approximately two points of tailwind from mortgage. In the second quarter, we expect mortgage inquiries to decline mid-single digits. Excluding mortgage, we expect the business to grow 1% to 3% on an organic constant currency basis. We expect adjusted EBITDA to be between $375,000,000 and $386,000,000, flat to up 3%. We expect adjusted EBITDA margin of 34.8% to 35.3%, down 90 to 130 basis points as certain expenses shifted from the first to the second quarter. Our margin for the first half of the year is expected to be approaching 36%, similar to our expectation for the full year. We also expect our adjusted diluted earnings per share to be between $0.95 and $0.99, down 4% to flat. Turning to the full year. We anticipate FX to be a 1% headwind to revenue and adjusted EBITDA, and the Monevo acquisition to contribute 0.5% to revenue. We expect revenue to come in between $4.358 and $4,417,000,000. We continue to expect organic constant currency revenue growth of 4.5% to 6%, or 2.5% to 4% excluding mortgage. These growth rates include a 1% headwind from lapping against last year's large breach win, which occurred in last year's third quarter. Our business segment organic constant currency growth guidance is also unchanged. We expect US Markets to grow mid-single digit or up low single digit excluding mortgage. We anticipate financial services to be up low double digit or mid-single digit excluding mortgage. We expect mortgage revenue to increase about 20% against modest declines in mortgage inquiries. We expect emerging verticals to be up mid-single digit. We anticipate consumer interactive decreasing low single digit but increasing low single digit excluding the impact of last year's large breach win. We anticipate international growing high single digit. Turning back to total company outlook. We expect adjusted EBITDA to be between $1,549,000,000 and $1,590,000,000, up 3% to 6%, unchanged from February. That would result in adjusted EBITDA margin of 35.6% to 36%, down 40 basis points to flat. We expect limited adjusted EBITDA from Monevo in 2020 due to one-time integration investment in the business, resulting in a 20 basis point drag to full-year margins. We expect Monevo to scale to company-level margins over time. We anticipate adjusted diluted earnings per share to be $3.93 to $4.08, flat to up 4%. Depreciation and amortization is expected to be approximately $570,000,000. We expect the portion excluding step-up amortization from our 2012 change in control and subsequent acquisitions to be about $285,000,000 as technology modernization initiatives go into production and start to depreciate. We anticipate net interest expense will be about $195,000,000 for the full year, and we expect our adjusted tax rate to be approximately 26.5%. Capital expenditures are expected to be about 8% of revenue. We expect to incur $100,000,000 to $120,000,000 in one-time charges in 2025 related to the last year of our transformation program. Given those investments, we continue to expect our free cash flow conversion as a percentage of adjusted net income to be roughly 70% in 2025. Before turning it back to Chris, I want to provide perspective on our portfolio resiliency and our ability to navigate a changing economic environment. Over the last decade, TransUnion has grown revenue organically at a high single-digit compounded annual growth rate and adjusted diluted earnings per share at a double-digit CAGR. We delivered growth in each of the last five years despite periods of significant headwinds in key end markets. We grew 3% during COVID-impacted 2020, and 3% in 2022 and 2023 despite sharp increases in interest rates and broad-based slowdown in US lending volumes. This track record of growth is underpinned by our diversified and growthful portfolios across solutions, verticals, and geographies.
Greg Bardi: For example,
Todd Cello: US Financial Services now accounts for one-third of total revenue compared to 60% in 2007. We believe our business is stronger than ever in terms of the breadth of solutions and expertise that we can deliver to help customers navigate a dynamic market environment. Our ongoing transformation fortifies these strengths, enhancing our innovation and quality of service while delivering efficiencies across our business. Slide 15 provides a breakdown of our US Financial services revenue by lending category. We believe our portfolio is broadly representative of the overall consumer lending ecosystem.
Greg Bardi: Through mid-April, trends remain consistent with prior year
Todd Cello: and our guidance. That said, we are keenly aware of broader business and consumer uncertainty in the current environment. We plan to actively monitor risks
Greg Bardi: and market dynamics.
Todd Cello: Taking a step back, I want to provide a couple of considerations for our US financial services business. As we discussed in February, current volumes are already at subdued
Greg Bardi: below trend levels.
Todd Cello: Mortgage volumes are historically low at 50% below 2022 levels, while other lending types are also below robust 2022 levels.
Chris Cartwright: Additionally,
Todd Cello: consumer consumption is not the only driver of credit activity. If slowing economic growth leads to lower interest rates, refinancing opportunities would increase, most notably in mortgage. Higher refinancing activity drove US Financial services growth in 2020. For context, there are 7,000,000 mortgages in the US with interest rates above 6%, which compares to 5,000,000 total mortgage originations in 2024.
Chris Cartwright: That said,
Todd Cello: the current refinancing opportunity is limited with mortgage rates still in the high 6% range.
Chris Cartwright: Another lending type
Todd Cello: that we would expect to see good demand in a slowing economy is our consumer lending and fintech business, whether for loans to consolidate higher-cost debt or for loans to manage near-term financing needs. Finally, we've significantly broadened our solutions suite to US Financial services in recent years, and not all of our revenue is generated from online or batch marketing credit volumes. Portfolio review and analytics enablement solutions account for a little under 10% of financial services revenue, and demand is likely to be more resilient during peaks of market stress. Non-credit solutions, including fraud and communications, account for an additional 20%. Most of this revenue is within our non-mortgage lines of the business. The remaining two-thirds of our portfolio is diversified across solutions, verticals, and geographies.
Chris Cartwright: In emerging verticals, our largest vertical, insurance, is highly relevant
Todd Cello: in all economic scenarios and remains on a strong trajectory. The rest of emerging verticals consist of a broad range of solutions serving a diversified set of customers. Fraud and communication solutions are largely acyclical. Marketing Solutions performed well even in 2020 due to its strong relationship with customers and 70% subscription revenue base. In Consumer Interactive, our offering is highly relevant in periods of economic stress, and we will be well positioned going forward with our freemium offering. Additionally, ID protection is by nature a long-term engagement, and our breach solutions are episodic but acyclical.
Greg Bardi: Our international business tilts
Todd Cello: credit-oriented but is also diversified and indexed to faster-growing economies. We have a track record of outperforming our underlying markets, growing double digits every year over the last decade except for 2020. TransUnion has a seasoned management team with experience operating through economic cycles. We plan to prudently manage costs based on market conditions. We remain committed to completing the final phase of our business transformation, which will continue to generate value through structural cost savings and accelerated innovation. The last several years of investment have started to bear fruit, and our 2025 investments ensure that we harvest the benefit of that hard work. These benefits include the continuing scaling and enhancement of our global capability center network, which currently has over 5,000 employees. Our global operating model, with increased centralization and standardization of work, enables us to manage costs more dynamically
Greg Bardi: as conditions evolve.
Todd Cello: Should we see signs of deteriorating lending volumes or pressures on business and consumer activity, we have a plan ready to offset some of the potential near-term earnings pressure with cost mitigation actions. Initial scope for potential reductions would be managing hiring levels, third-party spend, and travel and entertainment. In addition, we'll analyze the prioritization and timing of growth investments based on environmental conditions. We're not yet actioning these initiatives, given still healthy activity. With that, I will now turn the call back to Chris for final comments.
Chris Cartwright: Thanks, Todd. As we laid out, we're well-positioned and prepared to navigate this period of economic uncertainty. At the same time, I remain highly confident in the long-term growth opportunity in front of us and our ability to execute against it. We are competing in attractive markets, and our transformation positions us for a new generation of growth. From a market perspective, the secular trends that have underpinned the last decade of growth remain intact. Our core US Credit market is mature and growthful. We continue to experience increasing customer demand for alternative data and advanced analytics to strengthen credit assessment and engage with consumers. While credit volumes can be cyclical, we expect volumes to grow over the long term, particularly in areas like mortgage that are well below historical trends. From our core in credit, we have thoughtfully expanded into attractive solutions areas and verticals, seeing momentum and a right to win in the multibillion-dollar and highly complementary fraud, marketing, and communications markets. We plan to deepen our customer relationships across our verticals with these highly relevant solutions. And we also have a best-in-class international business, indexed to geographies with large populations and emerging credit penetration. We will continue to diffuse our innovation across these geographies. Over the past several years, we embarked on a significant business transformation to support this next generation of growth. And we're now transitioning from a period of rapid investment and change to a period of execution and value creation. In the last few years, we integrated three sizable acquisitions, modernized our technology, optimized our global operating model, and bolstered our product function and capabilities. Additionally, this year, we made key steps to reinvigorate our consumer interactive business and announced an acquisition of the largest consumer credit bureau in Mexico. This hard work is already driving stronger financial performance, and we believe it positions us to accelerate organic revenue and earnings growth independent of the credit cycle. With that, let me turn it back to Greg.
Greg Bardi: That concludes our prepared remarks. For the Q&A, we ask that you each ask only one question so that we can include more participants. Operator, we can begin the Q&A.
Operator: We will now begin the question and answer session. Before pressing the keys. If at any time your question has been addressed, please press. The first question comes from Jeff Meuler with Baird. Please go ahead.
Jeff Meuler: Yes. Thank you. Good morning. Nice quarter.
Chris Cartwright: Want to ask on the confidence on the reacceleration in India. Is it based on the expected benefits from the RBI pivot and the easing comps, or are you starting to see a pickup in your business like, bookings growth, or you're seeing a pickup in consumer lending activity, or if you could size up kind of like the non-bank financial lending and how just, how impactful that was in '24? Thanks.
Chris Cartwright: Yeah. Thanks for the question, Jeff. You cited two reasons where we might be optimistic for the reacceleration. And I would say both are true. We are selling particularly well in India. We have a new suite of analytic solutions based on the OneTrue platform and the data conversion that we've done that we're taking to market in India. But we also think that the RBI's posture, which is growth-oriented now, supports increased consumer lending activity. Quick recap, in late 2023, the RBI under previous leadership got concerned about the level of growth in personal lending in India. They thought there was a bit too much leverage in the system. They prefer a loan-to-deposit ratio of about 70%. It had stretched to 78%. The RBI was also concerned that certain lenders were not doing appropriate affordability analysis.
Operator: So they sidelined some fintech lenders,
Chris Cartwright: they kept rates higher for longer, and they curtailed lending across the space in order to get that deposit at a loan-to-deposit ratio, you know, back to a level they're comfortable with. With a change in administration, and also a year of reduced GDP growth, the RBI has clearly said that they're balancing growth along with safety and soundness equally. They've put through two rate cuts. They've communicated that they don't feel there's too much leverage in the market currently. They've allowed the certain lenders that were restricted in 2024 to get back into the game. And, yes, we are seeing improvements in activity in India. Of course, as you mentioned, we got a big comp this quarter against the prior year. It was probably another 30% quarter previously. Got a big comp in Q2. But we do expect reacceleration quarter by quarter over the year. We're guiding to 10% growth in India. We would exit the fourth quarter at high teens growth at least. And we're feeling pretty good about how the Indian market is developing against that. Remember, it took about four quarters for the deceleration's full impact to show up in our numbers. And so it's going to take some number of quarters for the reacceleration to take full grip.
Operator: Thank you. The next question
Andrew Steinerman: comes from Andrew Steinerman with JPMorgan. Please go ahead.
Andrew Steinerman: Hey, Todd. Two quick questions. One,
Todd Cello: are you still expecting free cash flow conversion to be about 90% next year? And then that was on a slide a quarter ago. And also, if you could tell us how you think US Markets financial services will trend in the current quarter, the second quarter. I definitely see you're talking about low double digit for the year.
Todd Cello: Good morning, Andrew. Thanks for both questions. Let me take the free cash flow question first. As you are aware, over the last several years, we've made significant investments
Operator: to support our transformation program, which we talked about in our prepared remarks, that needless to say has been a significant use of cash, you know, for our business.
Andrew Steinerman: This year, we still have a good line of sight
Todd Cello: to being able to achieve about 70% free cash flow
Operator: conversion as we had guided in February. And when we think about 2026 and beyond, with the transformation
Todd Cello: program ending in the one-time spend related to that,
Andrew Steinerman: And as a reminder, this year, we have between $100,000,000 to $120,000,000 to spend there.
Chris Cartwright: And the second piece is we also expect to bring our capital expenditures as a percentage of revenue down from 8% to 6%. So the combination of those two factors plus anticipated operating performance showing itself through adjusted EBITDA will get us to a point where we're at a 90% plus free cash flow conversion in 2026.
Andrew Steinerman: Yeah. And, Andrew, look, I'd remind you and everybody on the call that we won't have an add-back next year. Because our tech modernization will be, it's the phase that we outlined will be behind us. And I'm reiterating our confidence in achieving the level of savings we previously conveyed and the timing of those savings.
Chris Cartwright: Okay. So Andrew, your second question pertained to the financial services and the growth that we're expecting for the remainder of the year. Right? So for the second quarter, is what you're looking for. Okay. Great. Mhmm. So as you can see, you know, when you look at our results, you know, for the first quarter, we're needless to say pleased overall with the performance that we had with financial services up 15%, nine excluding mortgage. I think what's important there is some strong, reacceleration that we've seen in consumer lending, particularly with the fintechs. Also saw some good strength, you know, in auto. And card and banking is, you know, held on, you know, relatively good. With mortgage, up
Operator: but
Chris Cartwright: really price-driven. Inquiries were down. So with that is, you know, the foundation moving into the second quarter, as again, we've said in our prepared remarks, we haven't seen any impact at this point. We're obsessed with looking at it on a day-to-day basis and what our customers' activity is up to. Walking into this call this morning, haven't seen any impact at this point. But it doesn't mean that, you know, we're not looking at it and monitoring it. We're not complacent. But
Operator: if the trends persist,
Chris Cartwright: we would expect, you know, consumer lending, you know, to continue to be strong as we go forward. Again, card and banking, you know, you know this because you're at JPMorgan. You know, I mean, the commentary that came, you know, from the banks was, you know, relatively optimistic, but with the appropriate caution based on the unknowns. So that's what we're seeing from our card and banking customers. In auto, again, we talked about this in our prepared remarks, January and February were a little bit softer. We saw a stronger March, and we felt that that might have been in anticipation of a pull forward of demand because of the anticipation of tariffs. That's an area that we're going to continue to watch closely, but again, trends have been relatively okay in that space. And mortgage, as you know, probably the most cyclical part of our business, you can all see what's happened with the thirty-year mortgage rate, and it's ticked up to the high sixes. With that, you know, we've seen, you know, a corresponding, you know, decline in volumes early on in the quarter. But the net-net on all of this, things when you look at across all four lines, is that we continue to trend favorably.
Andrew Steinerman: Sounds good. Thank you. The next question comes from
Operator: Toni Kaplan with Morgan Stanley. Please go ahead.
Toni Kaplan: Thanks so much.
Andrew Steinerman: Maybe just following on the last question's thought process, if you look at the organic bridge from
Chris Cartwright: you grew 8% organically in
Andrew Steinerman: in 1Q overall. The guide
Toni Kaplan: for 2Q basically at the midpoint is about 4%. But
Chris Cartwright: so far, no
Toni Kaplan: change to demand or anything that you're seeing. India expecting to get better sequentially as you go through the year. Just like help us out, in addition to just conservatism, what sort of is the change or what could impact 2Q that's worse than what you in the guide than what you saw in 1Q? Thanks.
Chris Cartwright: Okay. Thanks, Toni. I'll take that question from you. And think maybe let's take a look at this more from an overall view looking at our guidance. Clearly, you've seen our Q1 results. You have our Q2 guide, and you see the full year. We didn't change the full-year guidance. So with 7% growth or 8% on a constant currency basis, and we compare that to 4.5% to 6% organic constant currency growth, needless to say, that implies that there's a step down from Q1. And as we've said in my prepared remarks, if trends continue, from what we saw in Q1 and what we've seen thus far, we have good visibility to exceeding the high end of the full-year guidance that we provided. But right now, there's just a significant amount of uncertainty that we're navigating. So we felt that the prudent thing for us to do, you know, was to maintain the full-year guide that we provided in February. So that does provide us some room in the event that we do see any type of deterioration with the consumer. And in general, we see a consumer that's still broadly healthy with real wage growth and high employment, and they're reasonably using credit. And delinquencies at this point across the four lines of business that I just went through on Andrew's question in financial services, delinquencies are good. They're back at a level pre-pandemic. But historically, they're still in a good spot. So in general, we're still dealing with a very healthy consumer. You look at the guide then, and you can look at the first half versus the second half with the pieces that we've provided. And in essence, what it's calling for is about the same amount of growth in Q2 and also in the second half of the year. From an earnings perspective, see the same thing with adjusted diluted EPS. You know, our guide of $4.08 is roughly split half and half throughout the year. So the things that we talked about with financial services, are, you know, could be that continues, that'll be a positive. Chris just gave a response on India. That's clearly, you know, could be a positive. Our emerging verticals had a very strong quarter at 6%. We went through the details there. Those trends, if those continue, all in all, net-net of this is the trajectory of the business is pretty solid, but we're being watchful of events, in a macro perspective.
Chris Cartwright: Yeah. And just going back to the beginning of the year when we first communicated the guide for 2025, we were clear that we intended to be prudently conservative in an environment with a lot of uncertainties. So we did not assume a reduction in interest rates over the course of the year. We did not assume an improvement in volumes in any category in the second half. And as Todd pointed out, volumes in financial services in the US are at historically low levels.
Operator: Right?
Chris Cartwright: So this just feels like a beat and hold environment, not a beat and raise environment. And our guidance for Q2 and the year reflects that.
Operator: Thank you.
Faiza Alwy: The next question comes from Faiza Alwy with Deutsche Bank. Please go ahead.
Faiza Alwy: Yes. Hi, thank you. I wanted to ask about emerging verticals in
Chris Cartwright: when you were talking about the resiliency in the business, I think you mentioned that 70% of the business is subscription-based. So maybe give us a bit more color on the various pieces within emerging verticals and the resiliency that you would expect in a slowing environment.
Chris Cartwright: Okay. Good morning, Faiza. I'll take that question. On the emerging verticals and just very start, as far as the subscription number that you're referencing, that's our marketing business. Only where we have about 70% of the revenues are subscription-based. So it's not across the entire emerging verticals. So when you do look at the emerging verticals, we do have a broad set of customers. Let me walk you through each one of them, and I can give you some color on what we saw in the quarter, but I think more importantly, the resiliency of each one of these businesses, as we go forward, in an uncertain type of market. So starting with insurance, we were pleased with low double-digit growth. We saw good marketing and shopping, you know, activity. Trends in general, you know, continue, you know, to be positive. If you think about that in, you know, a slower growth type of environment, the insurance business typically outperforms, in that market. As consumers shop for lower insurance rates, and that shopping activity is a benefit for our business. Moving along in the emerging verticals, tenant and employment returned to a good high single-digit growth. You may recall that we did some recalibration of our products a couple of years ago. So that's been a positive. And as a result of that, we've seen some new business ramping up. And we've also seen an increase in consumer move rates, as well. Tenant employment in a downturn typically is also a positive. If consumers aren't taking out a mortgage, they're more prone to rent, and that rental activity is a positive for that business. Our telecommunications vertical, our technology retail and e-commerce, and media, a lot of those three verticals within the emerging verticals are primarily led by products and services that we acquired through the NuStar acquisition. And what we've seen there is growth improving. We've seen strong performance in particular, in communications. And as everyone knows, trusted call solutions have been a significant positive for us. We still expect that business to grow from $115,000,000 to $150,000,000 this year. So substantial growth there. Communications also have a lot of the legacy of telecommunication capabilities that we acquired from NuStar, and those businesses, you know, performed actually pretty well, you know, in the quarter. So we saw mid-single-digit growth across telco, tech, retail, and e-commerce. In Media, we saw low single-digit growth. What's important there in Media is the point you started your question with. 70% of that business is subscription-based, so there's some insulation. Telecommunications and tech retail and e-commerce will probably be more of a neutral.
Operator: In a downturn
Chris Cartwright: type of scenario. Media, we'd say, be probably more of a negative and just simply from the perspective of our customers may build fewer audiences. But our products, in marketing, are highly relevant as it pertains to identity, as well as the analytic capabilities of doing campaign management. And then, you know, finally, to kind of round it out, our public sector business, we talked about in our prepared remarks, that decline was really year-over-year comps. But as we think about where the government is headed and not just the federal government, but we support the state government as well too, our products and services really, you know, get into fraud, insider threat, you know, mitigation and ID. So if you think about, like, welfare payments and making certain that they go to the right, you know, consumer, our products and services will serve that well. So we look at that as, you know, probably a neutral to maybe positive, you know, in a downturn. And then finally, the last one is collections. Collections is typically a counter-cyclical play. So if, you know, delinquencies do tick up, unfortunately, it is a business that does increase. So it just shows the resiliency of our portfolio. So in a downturn, you would see, you know, a positive there.
Faiza Alwy: Great. Thank you for all the detail.
Operator: The next question comes from Jason Haas with Wells Fargo. Please go ahead.
Jason Haas: Hey, good morning and thanks for taking my question.
Operator: I was curious, it looks like your guidance implies that the
Chris Cartwright: outperformance of mortgage revenue versus increase will moderate in the remainder of the year. So can you just talk about that dynamic and why you're expecting that?
Todd Cello: Thanks.
Chris Cartwright: Okay. Good morning, Jason. So, yeah, as far as the quarter is concerned on mortgage, as you saw, we grew 27% with volumes down 10%. So that gap, if you do the math, is about 37%. Primarily, where that's coming from for us is, pricing realization was a little bit better. But also as a reminder, the way that we report out our mortgage business is we include everything that we do with mortgage in that number. And so what I mean by that is we are including prequalification, as well as home equity. And we're a little bit different than other players in the market is with our batch marketing. Where, you know, we're helping mortgage lenders identify potential consumers to be in the market, you know, for a mortgage. As the remainder of the year goes on, we're revenue to grow 20%, and we're saying volumes are gonna be down
Operator: modestly.
Chris Cartwright: So that gap, that I just talked about, shrinks a little bit. So if we look at the volumes themselves,
Operator: and
Chris Cartwright: as I said, we include everything that we have in our mortgage number. But we know you're looking for the pieces here. So if we were to exclude prequalification, and just included the triburo inquiries on mortgage origination, we would be in a similar spot than other numbers that you've seen, you know, in the market. So we're seeing, in essence, the same thing. And as far as what we're assuming for the rest of the year, as I've said in the previous responses, simply a continuation of the trends, that we've seen thus far. To the point Chris just made, came into the year with that assumption. We did not assume any interest rate cut benefit, and we're going to continue, you know, to hold that posture.
Jason Haas: Got it. That's helpful. Thank you.
Operator: The next question comes from Ashish Sabadra with RBC Capital Markets. Please go ahead.
Ashish Sabadra: Thanks for taking my question. I just wanted to
Operator: to clarify one quick thing. On autos, there was a comment on some pull forward in March. I was just curious if you saw any pull forward in any of the other segments within financial services? Or consumer lending? Thanks.
Chris Cartwright: Yeah. The short answer to that is no. What I would point out about, you know, some of the performance of some of the loan categories, you know, we've been saying for some time that we felt consumer lending and the fintechs in particular were positioned to rebound. At the end of last year, you saw a good number of the largest and best-known of the fintechs get, you know, material funding that positioned them to compete in the loan consolidation market. We think that's a real good opportunity. Think it's countercyclical. As you know, coming out of the pandemic, card issuance was quite high as credit scores had up due to forbearance. A lot of those consumers, particularly the ones further down the risk spectrum, they use their cards vigorously and they've developed material loan balances. So they're revolving, you know, a good deal of debt at a fairly high interest rate. It's a situation that's ripe for debt consolidation. And I think that our fintechs and consumer lending in general is positioned to take advantage of that.
Ashish Sabadra: That's great color, and congrats on solid results.
Greg Bardi: Thank you.
Operator: The next question is there time for another question?
Chris Cartwright: Sure.
Andrew Nicholas: Yes.
Operator: Okay. That question comes from Andrew Nicholas with William Blair. Please go ahead.
Andrew Nicholas: Hi, good morning. This is Tom Rasch on for Andrew Nicholas.
Chris Cartwright: Thanks for taking my question.
Operator: Last quarter, you mentioned
Chris Cartwright: you guys planned on high grading 50 of your largest US
Andrew Nicholas: Credit customers out of OneShoe. Was just wondering if you provide color on how that transition went, if you're seeing any early material benefits. And then relatedly, I know you cited your confidence at $35,000,000 expense savings in 2026. So was wondering
Chris Cartwright: on halfway through the year if you think there's any upside to that number?
Andrew Nicholas: Thank you.
Chris Cartwright: Yes. Thanks for the question, Rashaan. Yes, we had communicated 50 and it was 50 of the largest and most complicated customers. We're running 50 in parallel on OneTrue. We actually increased the total number to 90 and we're seeing it's going pretty well. And we're seeing, you know, some real material performance benefits. Generally speaking, response times are about
Operator: half
Chris Cartwright: on OneTrue relative to our heritage or legacy platforms. So we're seeing materially faster processing of online and batch transactions.
Operator: We
Chris Cartwright: in as part of this migration,
Operator: we migrated
Chris Cartwright: the customer that has the largest batch job with TransUnion, the largest standing batch job. It takes about eighteen hours, nineteen hours to run. It's now down to ten hours and with some further engineering refinement, it'll be down to six hours. So you're seeing kind of the order of magnitude of improvement that we're talking about on the
Operator: processing
Chris Cartwright: speed side.
Operator: Additionally, we're able to develop new datasets, new data attributes, and analytics are faster on OneTrue. Right? It is a standardized consolidated cloud-native platform from the data layer all the way up to the business logic and the deployment of all of that in our seven different product solutions. And look, the data governance and cybersecurity is just far more rigorous. Not that it was ever a concern, but you just can never be secure enough. And we have a lot of contractual and geographic regulatory issues that we have to make sure that we comply with, and we've got much better functionality. So so far, very pleased with the migration to OneTrue, and we're gonna continue to migrate customers and workloads over. In the second quarter. And look, in terms of additional savings, you know, as I mentioned, we are already planning the migration of some of our other geographies. The UK, Canada, The Philippines to OneTrue in 2026. So that planning work is taking place currently. And, yeah, we expect strong efficiencies once we have migrated those geographies over to OneTrue. We never really tried to model that, but the hope is that we'll have a dynamic where we're saving a good deal and we can redeploy that for growth, and also to support expanding margins over time.
Operator: The last question today will come from Manav Patnaik with Barclays. Please go ahead.
Manav Patnaik: Thank you. Appreciate it. I guess I'd just like to
Operator: squeeze in, Chris, maybe some of your thoughts on the
Chris Cartwright: I guess there were two mergers. One is the Capital One Discover and just your exposure to those banks. And then it sounds like True Work was acquired by Checkr. So just curious how you guys have played your equity stake in that?
Chris Cartwright: Yeah. Thanks for the questions, Manav. Well, in terms of, you know, the big card issuer mergers, both of them are significant clients. And we have good relationships with both. And we understand the kind of the industrial logic of the acquisition, and you know, we're gonna be highly engaged in helping them manage their change. And just look forward to ongoing collaboration. With regard to, you know, True Work, where we had a minority investment and a distribution partnership, and their acquisition by Checkr, who's also a client. We do a lot of data collaboration with Checkr. We've, you know, we've got good relationships there. We have rolled our minority stake into the combined transaction, and we look forward to continuing to work with them on the distribution partnership.
Greg Bardi: Perfect. Thanks for all the questions, and I think that's a good place to end. Thanks, and have a great rest of the day.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.